Operator: Good morning, and welcome to the Solaris Second Quarter 2022 Earnings Conference Call. . I would now like to turn the conference over to Yvonne Fletcher, Senior Vice President, Finance and Investor Relations. Please go ahead.
Yvonne Fletcher: Good morning, and welcome to the Solaris Second Quarter 2022 Earnings Conference Call. I'm joined today by our Chairman and CEO, Bill Zartler; and our President and CFO, Kyle Ramachandran.  Before we begin, I'd like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that we will make today. Such forward-looking statements may include comments regarding future financial results and reflect a number of known and unknown risks. Please refer to our press release issued yesterday, along with other recent public filings with the Securities and Exchange Commission that outline those risks.  I would also like to point out that our earnings release and today's conference call will contain discussion of non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in our earnings release, which is posted on our website at solarisoilfield.com under the News section.  I'll now turn the call over to our Chairman and CEO, Bill Zartler.
William Zartler: Thank you, Yvonne, and thank you, everyone, for joining us this morning. Our second quarter financial results demonstrate the early innings for a more robust opportunity set for Solaris than we've seen in the past. Over the last few market ups and downs, our total addressable market was generally limited to having a set of 6 sand silos paired with a frac crew and a relatively small last mile service offering.  During the last few years, including through the downturn, Solaris expanded its engineering software and manufacturing teams, and has been hard at work designing and building new technologies that complement and build upon our core offering.  Today, our total addressable market has grown significantly as we roll out additional offerings. Although we are still tied to the number of frac crews sites in operation, our opportunity on those sites has grown significantly. Today's offering includes top fill solutions, the AutoBlend unit, water and chemical silos and a more sophisticated last mile offering that expands our potential earnings footprint per well site.  These growth opportunities were born out of our internal innovation and our culture of continuous improvement in our core values for Solaris. We've always believed that the entire raw material supply or low pressure side of the well site holds tremendous opportunity for efficiency improvements just as the sand storage handling did. Our vision was to design a low-pressure side of the well site that integrated the sand, water and chemical storage and handling into one, all electric automated operating platform with minimal headcount required to operate multiple built-in redundancies for the highest reliability and the smallest footprint possible.  This vision required capital investment that we began making in 2020 despite the downturn and accelerated this year as these offerings have had great traction in commercial success. They are now resulting in higher revenue and profit per frac fleet and return opportunity for Solaris.  Our number of fully utilized sand systems is a proxy for the number of frac crews we follow and is still a good measure of part of our success. We believe our 12% sequential sand silo system growth in the second quarter exceeded the underlying activity growth in frac crews as the new technology deployments helped us expand our customer list. The efficiency our technology enables has always been important but has become even more critical at a time when access to incremental frac crews, workers and consumables needed to drill and complete wells is challenged.  Our new top fill technology enhances these efficiency benefits by maximizing payload and minimizing unload times of trucks, hauling sand to the well site. The combination of increased payload and faster unloading times allows the drivers to achieve more turns, which reduces the overall number of trucks and drivers required to supply sand to a well site.  We estimate the number of required truck trips can be reduced by up to 20% by using our top fill technology. Fewer trips and fewer drivers help lower overall trucking costs as well as alleviate the worker availability bottleneck that continues to be a challenge for the industry. Fewer truck trips and people on well sites also means improved safety and lower carbon footprint. Customers also maintain the option to unload pneumatically, which helps to ensure reliability and uptime performance.  The value our customer sees in these efficiency gains is evident in the growing backlog we're experiencing for our new top fill technology. Nearly every customer that has a top fill today has indicated plans to continue to use the system. And in many cases, some of our top fills have allowed us to add incremental silo work for new customers in addition to their current system activity. This brings incremental return on a pull-through basis. Based on these early results, we have a growing backlog and demand for the units, giving us line of sight into additional deployments over the coming quarters.  During the second quarter, our last mile services offering delivered a record amount of sand to well sites throughout the Lower 48, which was an additional contributor to overall profit per system. As we've rolled out the top fill equipment, we have used them in many of our integrated last mile jobs and have been able to further enhance our margins. We have strategically built our last mile service offering over the last few years by investing in an experienced team, investing in software and integrating our top fill equipment.  We were also able to win work with new high quality customers and with the ramp in our top fill deployments, we've also started to benefit from an increasing number of belly dump trucks contributing to our profit mix. We see continued momentum with our integrated last mile service offering as our team continues to execute as our new top fill equipment gets rolled out. It's only getting started in terms of deployments to help drive incremental market share wins in the coming quarters.  Our AutoBlend unit also provides incremental efficiencies on well sites, and this benefit is also evident in the increased demand we've seen. Our blended revenue days were up over 50% in the second quarter and some of our deployments have been consistently with the same customer. The AutoBlend's increased automation, smaller footprint, built-in redundancy, enhanced safety and all electric design all contribute to a significant reduction in downtime caused by traditional blenders, resulting in an increase in pumping hours for our customers. This translates to more wells per frac crew, which alleviates a major industry pinch point on pumping equipment and labor availability and ultimately results in lower operating costs for our customers.  Like the rest of the Solaris offering, AutoBlend is all electric and can be integrated with power sources that are used by electric frac fleets today, thus reducing or completely eliminating fuel requirements for Solaris equipment. While the industry is remaining disciplined and as far away from a full scale new build cycle, we believe the new electric frac fleets coming into the market in 2023 provide a strong opportunity for continued AutoBlend deployment in addition to the adoption for conventional fleets.  Last quarter, we spoke about how we frame the potential return opportunity on a per frac crew basis relative to the investments we are making in new technologies, particularly the top fill and AutoBlend units. We believe that for every well site where we deploy a top fill, our last mile services, our fluid silos and our AutoBlend unit, we deploy 2 to 3x the investment and expect 2 to 3x the return or contribution margin per frac crew compared to a single 6-pack sand system. We are already seeing these incremental returns on well sites that incorporate our new offerings.  It's also important to reiterate that each of these new service offerings is designed work in conjunction with the Solaris sand silo system. As these new technologies deploy and pull through additional sand silo units, we believe our activity growth can outpace the industry frac row deployments.  For example, there are customers in basins that Solaris has not historically had a large presence with. We believe that our new technology will allow us to essentially grow into new or underrepresented markets such as the Rockies and Bakken. And with the return opportunity of 2 to 3x versus a stand-alone silo system, we'd also expect to see our overall profit per system expand over time as well as customer and basin additions.  Because we have a culture of innovation and continuous improvement, we are continuing to work on additional efficiency enhancements for our customers to further grow our addressable market. One additional example of this is the modifications we made to our equipment to enable handling of wet sand. While it's still early to know what the ultimate demand will be for wet sand, several operators have spoken about it in the context of mobile or on-site mines.  Wet sand typically contains 4% to 6% water content that historically has been hauled by boxes or bottom drop trailers. While the weight of the water results in smaller volume of sand that can be transported per truckload, the total delivered cost of the sand is significantly cheaper by reducing trucking distances with more proximal mine locations and eliminating capital and operating costs required to drive the sand.  We recently tested the ability of our full offering to handle wet sand, including modified sand silos, fluid silos, top fills and AutoBlend. We are pleased with the initial results, and we'll continue to run these trials. The early trials indicate that we would require relatively modern modifications to retrofit sand systems for this capabilityand are monitoring market demand, which would justify this incremental deployment of capital. While Solaris sand systems already offer many efficiency benefits today, we believe this enhancement could result in new customers or incremental work with existing customers.  We're encouraged by the strong performance we have achieved so far this year and look forward to meeting our customers' demands for high-quality service, continued innovation and cost effective solutions that drive completions execution. Our second quarter results are pointed to progress in growing our revenue and margin opportunities through our investments in new technologies. We expect our expanded offering to continue to provide an economic and efficiency edge for both our customers and Solaris and are excited about our incremental market growth opportunities. We look forward to understanding the initial prospects for growth in 2023 as we continue to invest in forward thinking solutions while continuing to pay our dividend and maintain our strong liquidity.  With that, I'll turn it over to Kyle for a detailed review of our financial results and guidance.
Kyle Ramachandran: Thanks, Bill, and good morning, everyone. As Bill outlined, the Solaris team produced impressive results for the second quarter, and we believe they demonstrate a differentiated opportunity for Solaris and what appears to be shaping up to be a strong multiyear cycle for the industry.  We generated nearly $87 million of revenue and adjusted EBITDA of over $21 million. We averaged 84 fully utilized systems, which represents a 12% sequential increase from the first quarter. We believe this growth exceeded that of the industry frac count driven by incremental demand for our new technologies and our integrated last mile logistics offering.  Our gross profit margin for fully utilized system was up 18% sequentially in the second quarter. The strong incremental margin increase was driven by a combination of improved last mile profitability, fixed cost absorption due to activity growth and contribution from our new technologies as we deployed more top fill and AutoBlend units.  Operating cash flow was approximately $16 million. During the quarter, working capital built by approximately $4 million to support activity growth and accelerated trucking payments associated with our integrated last mile services offering. After total net capital expenditures of approximately $21 million, free cash flow was negative $4 million in the quarter.  We returned a total of $5 million to shareholders in the second quarter in dividends, which was flat from the prior quarter. The second quarter marked our 15th consecutive quarter of dividend payments, and we are now proud to have returned over $100 million in cash to shareholders in the form of dividends and share repurchases. We ended the quarter with approximately $15 million in cash and $50 million available under our undrawn credit facility for a total liquidity of $65 million.  Turning to our third quarter outlook. We expect near-term industry activity adds to be challenged by shortage of people and equipment. Given this tightness, we expect the industry frac crew count adds in the second half of 2022 will be challenged. However, we expect Solaris system activity should outperform. For the third quarter, we expect our fully utilized system count to grow between 5% and 10% sequentially driven by new technology deployments that provide incremental work with both current and new customers and continued focus on customer service. We expect continued improvement in system margin throughout the course of the year primarily driven by contribution from our new technologies, continued execution in our last mile logistics offering and improved system cost absorption with anticipated activity growth. During the second quarter, we averaged 2 fully utilized top fill systems, and our guidance assumes we grow to an average of 10 fully utilized systems in the third quarter. And we would expect to see a similar growth rate in the fourth quarter.  Third quarter gross profit margin per system is also expected to be impacted by some near term headwinds, including a catch-up in field headcount to support growth, associated labor support costs and repairs and maintenance expense. Net of these factors, we expect gross profit margin per system to be up 5% sequentially.  SG&A expenses for the second quarter were approximately $6 million, inclusive of noncash stock-based compensation. For the third quarter of 2022, we expect total SG&A to be similar to the second quarter at approximately $6 million.  Turning to our capital outlook. For the full year, we continue to expect maintenance CapEx for 2022 to be in the $10 million range. As it relates to growth capital investments, we are now narrowing our expectations for full year 2022 expenditures within the range of $50 million to $60 million compared to our previous outlook of between $40 million and $60 million as we are seeing growing demand for our new technologies. We expect total capital expenditures in the third quarter of 2022 to be similar to second quarter levels.  As Bill spoke about earlier, we are encouraged by the incremental returns we are already seeing on our investments in our top fill solution and AutoBlend. While it is still too early to anticipate our growth plans for 2023, initial indications from some operators of their activity schedules and demand for our new technologies gives us confidence in continued investment in these solutions.  We will continue to monitor market demand and supply chain dynamics and will only make further investments which we expect will drive attractive returns for Solaris and our shareholders. Our distributable cash flow, defined as adjusted EBITDA less maintenance capital resulted in a dividend distribution coverage of about 4x in the second quarter of 2022. The combination of our outlook for growing profitability and stable maintenance capital expenditures should result in a continued improvement in our dividend coverage on a distributable cash flow basis throughout 2022.  We anticipate cash flow from operations, excess cash on our balance sheet and if temporarily needed, borrowings under our credit facility will be sufficient to fund our working capital and growth needs in 2022.  In summary, we are pleased with the results we are sharing with you today and are encouraged by the growing revenue and earnings contribution we are seeing from our new technology investments. Since our inception, we believe Solaris' differentiation comes from our drive for relentless service and leading-edge innovation, automation and higher safety standards. We look forward to sharing our continued progress on our new technology initiatives and how they drive incremental value for our customers by driving efficiency in the completion operation.  We will remain focused on new technology opportunities that can grow our earnings per frac crew we service, drive incremental returns for shareholders, maintaining our dividend and maintaining our strong balance sheet and liquidity position.  With that, we would be happy to take your questions.
Operator: . The first question comes from Don Crist with Johnson Rice.
Donald Crist: I wanted to start with the increase in revenue quarter-over-quarter. I know it can be lumpy depending on how many systems or pads you're supplying with last mile logistics. But can you just talk about the significant increase quarter-over-quarter? And maybe talk about profits. It seems like maybe labor was a little bit of a headwind against the increasing revenue per system.
Kyle Ramachandran: Yes. I'd say, Don, between last mile as well as the new technologies, the average revenue per piece of capital equipment does go up significantly. So on the new technologies, the commercial model at this stage is a rental plus throughput model. So we're getting -- we're generating revenue based on the actual tonnage pumped. And in general, that's going to increase over time as we're seeing more and more efficiencies. And just as a total overall magnitude, it's larger dollars.  So we are seeing revenue growth, which is driving, I would say, lower percentage margin over time when we compare to, say, the 2018-2019 time frame, when we were primarily just a rental business. So I would say, as we look forward, we're going to see revenue continue to grow and margins probably on a percentage basis to decline. But the way we look at the return on capital is really dollars of contribution.  And what's critical here is we're seeing expansion. In our contribution margin per frac crew that we're covering. And that's really the message here is we are growing our cash flow per frac crew meaningfully through further integration of last mile. There's significant value add there as well as the new technologies. So that's how we're kind of thinking about the evolution here, and it will continue to grow and more overtime as we have more capital going out.
Donald Crist: I appreciate that color. I know it's difficult to predict quarter-over-quarter. But one more for me, as you've built more top load and blender systems, can you talk about any efficiencies that you've gained? I know you refined the design of it over the last few quarters, and it seems like it's kind of streamlined now. Can you talk about how many you're producing per quarter or any kind of metric that you want to put on that and if you're getting more efficient there?
William Zartler: We are continuing to make them and our manufacturing is very efficient. And we've outsourced subassemblies. I think we've got 14 in the fleet right now and growing. So that was only a few quarters ago. So we're making them pretty effectively and efficiently, and we're deploying them.  As we mentioned, we've got a great backlog and we'll keep making them as long as we've got that and we see the incremental contribution margin. As Kyle said, I mean we really focus on the dollar return on that capital plus the dollar return on the core silo system and incrementing that up continues to perform.  Sometimes it really helps us capture the margin by being in the last mile portion of the business as well versus the rental model. And it really puts us in the position of some of our customers so we can demonstrate and understand exactly how to better make a return on that capital investment on that side of it.  In terms of blenders, they continue to perform. We've tweaked it. We've got 4 running and they're continuing to grow. It's not quite as straightforward to drop that kit in as you would adding a top fill on the front of the silo set. But it's working, and we're seeing tremendous reliability improvements under current blenders, and that really is encouraging for our customers.
Operator: . The next question comes from John Daniel with Simmons.
John Daniel: Okay. Look, this is kind of a softball, not meant to be. But just looking at the growth in Q2 top line, really impressive and then the growth in the top fill systems. And knowing, of course, that you're not going to give formal guidance for '23, but it really feels like if -- let's just humor -- let's say, we think the frac market is up 10% next year. Just make up a number for -- just for the purpose of the discussion. You guys should be outperforming this by a good factor. I mean am I off base on this? It just seems like you guys are set up well here.
William Zartler: No. I think if you flash back to our market, our penetration a year ago with 6 packs on every well site, occasionally 12 packs. And you start adding top fills on a significant portion of those and blenders, you really are looking at an incremental 2 to 3x per frac crew gross margin.
John Daniel: Yes. That's impressive. As you guys are designing the stuff, the blenders, the top fill systems now, I mean how much time is your engineering department allocating to that next opportunity? Or is right now the focus on just continuing to grow these 2 opportunities?
William Zartler: That's a great question, and we challenge ourselves every day to figure out our handoff. We've built up our operations team to take on the more sustaining engineering and improvements of our product solutions. We have our engineering group roughly divided up into new product design, development, launch and sustaining engineering. And for evolution of the current products and once they become current products, focused on that.  So we are in that handoff process right now. We've added to our field operations team to be able to handle these slightly more complicated products and slightly more complicated pieces of kit so that we can refocus our core expert engineering on new product development and turn this over into sort of field engineering.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bill Zartler for any closing remarks.
William Zartler: Thank you, Andrew, and thank you, everyone, for joining us today, and thank you to the Solaris employees for their continued hard work and making sure that we continue to provide our customers with innovative, reliable solutions that make our industry better. We'd also like to thank our customers for trusting our innovation and helping us continually refine it and make it better. We look forward to further sharing updates as these growth initiatives take hold over the next quarter or two. Thank you all. Stay safe, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.